Operator: Hello. Good afternoon. Welcome to our virtual conference call to present the results of the first quarter of 2025. This conference call is being recorded and has simultaneous translation into English. [Operator Instructions] As usually, we are going to divide this event in two parts. In the first part, our CEO, Andre Haui; and our CFO, Rafael Sperendio, are going to present the main deliveries of the first three months of the year. The presentation may be downloaded at our Investor Relations website at the address www.bbseguridaderi.com.br. Then in the second part, we are going to have a question-and-answer session when analysts and investors will be able to ask any additional questions. I'm going to give the orientation for you to participate after the presentation. Now I would like to give the floor to Andre, who is going to share with you the main results of the quarter. Andre, hello.
Andre Haui: Good afternoon, my dear friends. I would like to first start by thanking all the people who are following our virtual meeting about our performance in the first quarter of 2025. Our managerial profit which does not consider IFRS 17 standards reached the mark of R$2 billion, an increase of 8.3% compared to the same period last year. This performance was supported both by the growth in noninterest operating income, which was 4% higher in the period and by the 38% expansion in the net investment income. Our retained earned premiums, insurance main revenue metric totaled R$3.6 billion, a 7.1% growth in the first quarter. Our loss ratio had already closed the year at the lowest historical level fell at 0.3 percentage points, closing the quarter at 26.1%. In our accumulation business, pension reserves expanded 8.2% in 12 months and reached the expressive mark of R$440 billion. At BB Corretora, brokerage revenues totaled R$1.4 billion, up 4.1%. Now let's talk a little bit about the main advances that we had both within our product portfolio as well as in alternative distribution channels. This quarter, almost R$127 million were invested in the development of new products, maturation of digital platforms and business support, thereby ensuring 99% availability of our systems and reduction of our time to market. In the first quarter alone, we launched two products that opened important growth avenues for the company. The first of them was BB Seguridade Consortium Protegida credit life insurance that provides peace of mind to shareholders of Banco do Brasil Consortium portfolio and settles the letter of credit in the event of death of the policyholder. Along with BB, we also are present in workers' credit program to offer a kind of credit life insurance. So with the adjustments in contracting our credit life for farmers that made -- that we made last year, we achieved a significant growth of 39%. As part of our channel diversification strategy, we achieved a volume of R$419 million in premiums written, which is equivalent to 10% of the insurer's total. In structured business segment where we have life coinsurance and solar panel insurance operations that grew 41% compared to Q1 2024. In partnerships with cooperatives and agricultural resellers, our growth was 67%. In premium bonds, we also had a good performance, raising R$90 million through partners, an increase of 38% year-on-year. We also had more advances in distribution business, thanks to the BB Corretora Centralized Management Maestro platform, which plays a key role in making our distribution company gain more and more prominence. With this platform, we are able to connect sales journeys from direct -- different channels and partners and offer flexibility for creating campaigns and commercial strategies. An example of recent evolution is the qualification of sale of bidding bond insurance on the e-bidding portal, the largest in Latin America, which in last year alone transacted more than R$50 billion involving about 1,080 public agencies and 318,000 suppliers. We also continue to invest in improving journeys in digital channels, which contributed to the sale of more than 446,000 products equivalent to 17% of the total amount sold in the quarter. I would like to highlight that 48% of digital contracts were with new customers, reinforcing the importance of this channel for our strategy of expanding our membership and making protection solutions increasingly more popular. Moving to the next slide. All these improvements have been driven, thanks to our relentless pursuit for creating value and serving our customers, both current and potential. This is materialized in our consolidated NPS in the quality zone, advancing 4.6 points as compared to March 2024. The number of complaints continues to fall in 12 months. It was more -- it had more than 25% reduction. And the level of protection of our membership continues to evolve. The number of super protected customers grew 9%. The service conveyor belt and the differentiated sales, the different benefits offered to this audience reflected in service NPS, 1.8 points higher and a relational NPS, almost 6% higher. Now I end my speech, and I give the floor to Rafael, who's going to give you more details. I'll come back for the Q&A session.
Rafael Sperendio: Thank you, Andre. Well, now giving you details about the numbers. We ended Q1 with a profit of R$2 billion. And here differently, from the way we ended last year because there was a temporal mismatch. And now in Q1, it is more significant. So you can see our results, excluding the temporal mismatch of assets and liabilities of Brasilprev. So just remembering, we had an IGP-M going down by 0.3% in March against a 1.1% positive IGP-M. So they had an impact on assets and 1.1% positive IGP-M, having an impact in our liabilities. So the noise took out R$78 million from our bottom line, which is very similar to the effect that we had in Q1 '24 and it's not really relevant when we look at the year-on-year variations in net income, but to assess the face value of the profit, the right thing would be for us to think of 2.1 taking out the effect because we know that IGP-M in April is 0.4 positive, and we are going to have liabilities being impacted by 0.3. So as you know, the only variable that is still unknown is IPCA, which is 0.4. So it should be even more beneficial for us in terms of the net investment income. Now speaking more specifically about the net investment income, we had a 38% year-on-year growth, accounting for 16% of our bottom line, and the effect could be even more positive as you are going to see on the next page with more details of R$152 million growth in our bottom line, we have a growth coming basically from net investment income and the operational result contributed with R$64 million. Now when we look at the components of the operating result change, the main driver for growth was the evolution of retained earned premiums from our insurance operation as a result of the sales of last year, R$140 million came from earned premiums. This is also reflected in our brokerage revenues, adding R$32 million, but revenue in on-site ends up being expensing. On the other hand, an increase of R$32 million was offset by the increase in the cost of acquisition at Brasilseg. Another variable or positive impact was the reduction in loss ratio, R$6 million added to our operating results and 13 million coming from management fees, which is related to an increase in reserves. So this is the breakdown of our operating result changes partially offset with a R$95 million percent reduction, especially because of the increase in our expenses -- current expenses related to our operation. Now when we look at financial numbers, growing R$88 million year-on-year, R$31 million coming from volume, Selic or change in ex market to market, especially if you compare to last year. And then we also have expenses, especially related to Brasilcap and Brasilprev, which partially offset this growth. These are financial expenses. And then we have the temporal mismatch was R$4 million negative because in the first quarter last year and then mark-to-market lastly, in a little bit more detail, it's R$10 million negative as compared to R$71 million negative in the first quarter last year, again of R$61 million, something that we had been reinforcing to the market, we are likely to have a more positive impact with mark-to-market, which is clear in Q1. And as I mentioned before, and most of our exposure is free. It's in bonds that are pegged to the inflation and the curve will open. So we haven't yet captured all the positive movement in closing that we have in the first quarter is going on now in the Q2. Not to mention the mismatch and inflation rates and now it's a consensus in the market. IPCA will be above the IGP-M, which is another positive factor for our investment income. So I said it was 38%. And today, according to current information, it's going to accelerate during the year. Now about our insurance operations, premium written dropped 6%, strongly influenced by the products that are related to inflation, especially agricultural insurance that dropped partially offset by term life and rural lien. And our credit life is also affected. So this is a different perspective that we are showing, which is in terms of retained premiums even though with earned premium went down 6%, the retained premiums dropped less. But if we segregate and if you remember that last year, we really reinforced the discontinuity of our products and this is something recurring that we do. So if the product is not delivering the profitability that we require related to our capital, we discontinue the product without any problem. We are always seeking profitability. This comes first and then revenue. So the insurance for collateral had a contribution. So this is the fair comparison in terms of what we owe along the year would be premiums earned without the insurance for the violation or the breach of guarantee. So if we segregate, this kind of insurance and all the share that is related to reinsurance, the retained premiums would have grown 2% year-on-year. Now when we look at the quality of the operation, there is an increase of the combined ratio, but it is because of higher commissions. So this is basically related to mix and agricultural and other products on average gain share that's why it goes up on average. Loss ratio, the main highlight, it drops year-on-year. Life is the main highlight. We had an expected increase and widely communicated to the market because of La Nina, we had an impact especially in the state of Parana and Rio Grande do Sul in Southern Brazil. So this impact of crop insurance increased the loss ratio of the rural segment, but it was offset by a life segment. Last year -- differently from last year, we remember the catastrophe that hit the Southern states of Brazil. And most of the corn crop and soybean crop have already been harvested. Soybean has been harvested and corn is almost fully harvested too. So we are not likely to have a loss ratio in terms of crop insurance at the same level as we had last year. So we are going to see better indices along the year of 2025. The weather forecast indicates neutrality until the beginning of next year. So there is no reason for concern. Much to the opposite, we are likely to continue seeing an improvement along the year. In terms of expenses at the same level as last year. Net investment income grew 40% compared to last year, especially driven by the higher selling rate and net income grew 9%. So here, we had an 8% increase, a slight worsening of the combined ratio with commissions going and reflected in BB and then plus 40%, and then net income grew more strongly than revenue because of better investment income. Now on Page 9, talking about our pension business. So it dropped 20% year-on-year in terms of contributions. So it was the strongest quarter ever in our history. So it's very hard to gain or to offset it. There were many extraordinary events. There had been a change in the waiting period for some financial instruments with tax benefits and this brought lots of inflows into pension, but this was a very one-off and very specific movement in time and now it's back to normal. So when we look at this number 13, we do not have publicly published data available but we captured one-third of the market, which is very good performance in terms of contributions. In terms of net inflow, we had redemption ratio was higher. It went from 8.6% to 11.6% in terms of redemptions, and this is very much related. And when we find this with customers, most of them justified this to buy real estate or to complement income, and this was one of the main reasons for the redemptions. Reserves grew 8%. The average management fee grew 3% at a slower pace than we had seen in the growth of reserves because of a reduction of the average fee, which is directly related to the risk aversion. So it's still present in the market and customers are still directing their flow very much to more conservative instruments. And as a consequence, we have a lower management fee. And this is what we have been seeing along 2025. And lastly, the net -- adjusted net income grew 17%. But the investment income was much better than last year, R$7 million positive, much better than last year. And last year, it was R$100 million negative. So this combination drives the net income up by 17% as compared to last year. Now in terms of premium bonds, you can see in terms of collections down by 0.3%. We have 20% more distribution than last year. And we have a compensation in the financial margin, and we have a drop of 40% with a negative adjustment in terms of the hedge position that we had in the pre-portfolio that started more strongly late last year. And we disassembled it along the first quarter. We closed it gradually. But in the end, there was a negative adjustment with a net impact in the first quarter with an increase of the reference rate because of the increase of selic and compression of margins is affected the investment income driving down by 24%, the net income, which is something that will improve significantly along the second quarter but the face value curve closed, and we no longer have position for derivatives, only residual. Now next page, we have our brokerage company, 4% growth year-on-year revenue. And that's why the net income grew 7% and net margin also better because of the net investment income, a company that carries the entire portfolio of assets and post fixed. And to end our presentation, we are talking about our guidance. So in terms of noninterest operating results, we are close to the center of the target which is from 3% to 8% written premium, the range was 2% to 7%, but then it was down by almost 6%, especially due to credit-related products. And then we are seeing a good reaction of credit life insurance because of what Andre said, these are new products that started being sold in March. That's why they are not yet reflected here. So credit life and that are going to provide more credit life for the private payroll loans and a very important variable, not yet known, which is the size of the plans and subsidies for crop insurance that we are going to see in the second half of the year to see whether this is -- it is feasible or not to keep this range. In terms of pension reserves, we are below our target range was 12% to 16%. 12% to 16% is for the whole year. So being below that range is something that we already expected for our first quarter. That's why the selic rate and average rate will accelerate along the -- and the rate is below this range, and is accumulated 11% in the last 12 months. So as the average rate accelerates and then we are likely to see and this is what we are expecting considering the realized growth in reserves converging to the proposed interval, and everything is as planned. So these were the main highlights that I wanted to share with you. And now we should go back to our questions-and-answer session. Thank you so much.
Operator: [Operator Instructions] Now we are going to have a first question from Kaio Prato from UBS. Kaio, please, you may start. Kaio, I'm sorry, we cannot hear you. Well, maybe Kaio is having some issues with his microphone. Our next question comes - we can hear you, Kaio. You may ask your question.
Kaio Prato: I apologize. Good afternoon, Felipe and Andre, Sperendio. I have two questions to ask. Number one is the net investment income of prev, could you give us some more detail about the time mismatch adjustment and you reclassified PCC adjustments in the net investment income with R$35 million less impact to this quarter. So can you explain more about these adjustments that you have made, and whether you made the adjustment in the base in the first quarter of 2024, because this affects your operational numbers?
Rafael Sperendio: Thank you for the question, Kaio, I'm going to go first. The reclassification that we did, it was good, because it was very noisy and affected our operational results, and it refers to updates of inflation rate, plus interest rate. So it didn't make sense to leave just that share in our operational results, and that's why you decided to classify for financial expenses. And then we review the basis for Q1, 2024 is in the same reclassified basis as before. As to other impacts in the investment income, as I mentioned in the presentation, we have not yet appropriated all the improvement that we saw along the four months that we know in terms of closing. Most of our pre-exposure, especially in Brasilprev, is related to bonds that are related, or pegged to inflation. And the curve in the first quarter, the real curve differently from the nominal curve opened in some instances. So we had a negative marking in some vertices, because of a small exposure that we have in terms of face values and the longer vertices that closed on the margin. So this ended up not fully benefiting Q1 in addition to the IGP-M effect. As I said in March, there was a 0.3% deflation and liability, a positive inflation of 1%. So this really affected, or hurt the closing of the quarter. And I'm not going to pay so much attention to that. This is just noise. And in April, you're going to see the reversal. But our expectation is that in the second quarter, we'll be a lot more positive in terms of the investment income, especially in terms of revenue, as compared to what we had in Q1 this year.
Kaio Prato: This is great, Sperendio. Very clear. And the second is related to the guidance in terms of premiums. You expected to have a weaker period, but which lines are more likely to recover more intensely from now on? Could you talk a little bit about credit life and consortium, especially for the payroll loan and whether this can improve?
Rafael Sperendio: Thank you so much. So I'm going to give you some - a little bit more information about premiums. What I mentioned is that dynamics and new reinforced, Kaio, in Q1, we already expected, especially if we look at the year-on-year comparison, this is more difficult. I shouldn't remember, Q1 last year, we had a completely opposite environment in terms of what we are experiencing today. Q1, '24, we had lower rates and expectation that rates would go down during the year. This year, we have the opposite. We have a higher rate, and we are expecting rates to go up in Q2. And we are seeing these projections evolving to slightly lower levels, but the environment is completely different. Now when we look at this environment of lower rates, and expectation of declining trend. This environment is more favorable, for the issuance of credit life insurance premiums. And it's not just by any attention Q1, '24 was a record of premiums issued for credit life insurance. Now we have a stronger comparison basis in Q1, 2025. Now forgetting a little bit the year-on-year comparison and trying to look at the first quarter alone, what we see is that for individuals. Okay, there - has the expected reduction, because of higher rates with less space to include credit life insurance, and this reduces penetration, but the segment that we suffered was the company, or the Corporate segment. So this is related to the guarantee account, especially for micro and small businesses and share of micro and small businesses and the drop was much more significant. So much so that the corporate credit life represented 25% of premiums issued, and now it represents 8%. So half of the drop that you're seeing of the 21% year-on-year for credit life, most of it comes from the Corporate segment. Now going to the second quarter, what we are seeing is that credit life, and we are seeing the consortium and the credit life, and then we have a relevant share. Especially for the credit line for a private payroll loan, we have a smaller penetration than the other product that is still very much in the beginning. And as a reminder, the opening of sale of this product in branches only started last week. And now we are going to see the issuance gaining more speed. So it's half of the penetration that we see for other lines, of credit life for individuals. And this is a product that we want for the short-term. Now purchase consortium is more for the long-term, because we only appropriate the premium - the monthly premium is very much related to mortgage insurance. We need to build the portfolio, but then it will provide results more in the midterm. So the midterm today for the lines that we can cross-sell, with credit life and purchase consortium is about four months. It takes a little while, but this is important for recurrency and profitability in the mid and long-term.
Andre Haui: May I? Well, complementing what you said by the credit life for private payroll, and we considered that Banco do Brasil, has an impact here with smaller times, and the expectation that this product will reach before the end of the year 25 million workers. And today, we have 1.5 million. We understand that the prospective premium volume may grow considerably. So we are betting on this. We understand that yes, there will be a recovery of credit life insurance in the future. And even for rural insurance, and we are comparing life insurance to rural insurance and the behavior, with a quite significant reach. And we also are betting on the strength of our banks. So Q1, in line - if we compare to the previous quarter. But strength with the new products and as Rafael said, the product of consortium, we delivered as we had promised. So it's a product that we believe will be providing more long-term results, and we believe that credit life will gain strength in the future.
Kaio Prato: Thank you so much. Thank you. Andre and Sperendio.
Andre Haui: Thank you for your question, Kaio.
Operator: Our next question comes from Daniel Vaz from Safra. Daniel, you may open your microphone and ask your question.
Daniel Vaz: Thank you, Felipe. Good afternoon. Andre and Sperendio. It's just a follow-up about the automatic paycheck reduction loan. We thought that one for the contracting of credit was 2%. Now doing the math, as you issued R$61 million plus R$2 billion of contracting at BB, we would get to 3% or 4% driven by branches, distributing, as you said, you might increase it. Do you know how much is the ratio of what is issued by contracting? Would it be okay for us to estimate 5% considering the profit pool?
Rafael Sperendio: Thank you for your question, Daniel. I think that the bias today would be more towards, a reduction of the average rate that you're mentioning. It's difficult for us to project, because the fee depends very much on the time. So operations that are coming off now, is close to the numbers that you said now, from now on, especially, because branches are going to bring a much higher volume times will influence. And this is a variable that we do not have full control today. If times - in bank branches, if it's a longer time maybe that fee could go a little bit up, not too much, but a little bit. But if it's smaller, it might even go down a little. It's very much dependent on time.
Daniel Vaz: It's clear you helped a lot. Thank you, Sperendio.
Rafael Sperendio: Thank you, Daniel.
Operator: Our next question comes from by Tiago Binsfeld from the Goldman Sachs. Tiago, you may ask your question.
Tiago Binsfeld: Good afternoon, Andre, Rafael, thank you very much for taking my question. I would like to understand the line of net inflow, especially looking at redemptions. So we've been seeing the redemption rate above 11% for a few quarters. You have mentioned the reasons. But do you think it's likely that it's going, to go back to normal in the second half of the year? And is there any indication of that already in April? Thank you.
Rafael Sperendio: Thank you for your question, Tiago. Well, redemption, as I said, as I mentioned in the last presentation, in the pool of customers and a sample, where we can capture of customers that answer our survey, about 50%. They are justifying, because they are buying real estate, or to complement income. Probably this higher income, they are using it to buy properties, or real estate properties and the lower income they're using for income complementation. So real estate purchase when inflation is higher, it ends up being something natural. It's not hard to expect a reversal of that movement. Something else that we've been seeing, which we do not yet see customers saying this clearly, we are kind of inferring. We've been feeling since the middle of last year until now, where there is more market volatility, there is a higher competition, and we see migration to lower-risk funds. Reducing our average management fee, but very much this is because there is some competition with fee-free instruments. Brazilians are very aversive to risk. As we saw last year, there was a very strong opening considering the interest rate, and this had an impact in the profitability especially those that are exposed to inflation. This is natural. And we always try to maximize return for our customers in the long-term. As we had been carrying this, because real rates are very, very attractive. And today, 7% of real rate. And historically, the real rate was never much beyond that. Ever since the real plan, we're expecting return and very attractive returns. But sometimes, customers do not have the patience to put up with the volatility of fixed income instruments. So the impact that we saw in Q4 ends up being reflected in the customers' perception. And when we see the profitability of funds, we saw this in February, and this somehow ends up, leading to the need of redemption, or reduction of the appetite to allocate more funds. Now this year's dynamics and then an instrument, for those who are very risk-aversive, and sometimes, we see 95%, 92% without tax, without volatility ends up being more attractive. They prefer leaving volatility, allocate their funds in LCA, LCI. So this possibly also had an impact, but we can infer that this happened in the first months of the year. From now on, this movement is likely to reduce, to go down. As I said, in April, the real structure is closed. So there was an advance of this movement. And then we have the interest rate and the curve has started to close. It closed in April and May and this will be directly reflected. So we will be able to retain - to attract and retain a new flow. So the second quarter, if we assume that the curve will remain stable, or we'll keep towards closing, so we're going to have the beginning of a slightly more beneficial, or more favorable scenario for inflows. It's too early for us to say, because many variables may influence that. And there are things that are outside our control, especially in international scenario. In addition to the technical explanation. So the effort of the commercial departments, is for us to seek and retain customers. So we will gain momentum in terms of management and our market conditions. But in fact, we are going to have a greater push from the commercial area for us to go further.
Tiago Binsfeld: Thank you, Andre and Rafael.
Rafael Sperendio: Thank you, Tiago.
Operator: Our next question comes from Antonio Ruette from the Bank of America. Antonio, you may ask your question.
Antonio Ruette: Hello, good afternoon. Thank you so much for your time. So about premium, which is what surprised us the most, and as you said, Rafael, so you thought that it would be below guidance, also because of the seasonality. Being below the guidance was expected. Were you disappointed since you gave the guidance last quarter? And expanding on the question, which terms of the guidance thinking in terms of operational results and premium, what is the performance like? And what is going to go from now on, so that you review the guidance thinking of the operational, and seeing the growth in premium?
Rafael Sperendio: Thank you very much for your question, and this is an opportunity to make it slightly clearer. We already expected it to be below the guidance in the first quarter. We're thinking of the growth of reserves in Brasilprev, because the implicit interest rates and the productions of return. In terms of premiums written, we didn't expect it to be outside the guidance in Q1. And so, this is a little bit disappointing, especially with the agricultural or the crop insurance, even though it grew as compared to Q4, we've seen a drop that was stronger than we had expected, especially in credit life insurance, we expected a year-on-year fall. But total premiums, we expected the growth year-on-year. And then a share of that item is below expected coming from car insurance and another smaller share from credit life insurance, especially in terms of companies, corporate insurance making it clear. I think that I ended up answering the two parts of your question, right?
Antonio Ruette: Thank you so much, Rafael. If you allow me, I would like to ask another question about payout. Payout between 85%, 90%?
Rafael Sperendio: Well, taking the opportunity - so which variables could affect the guidance, of course, one share extremely relevant is likely to come from Safra plan, and agricultural insurance that will have a direct impact in terms of the writing of crop insurance premiums. And in April, it was quite satisfactory, but we need to wait a little longer, to see if this trend is going to maintain along the second half of the year. In terms of the performance projected for the - so far, we think that it is feasible. It's challenging but feasible. And that's why we think it's still premature to do any reviews in the first quarter. In terms of payout, historically, what we've been practicing between 80% and 90%. And today, based on information that are available to us, the trend is to be on the upper portion of the historical range. There is no significant need for us to retain capital, and operation is not growing as fast as we initially expected, and this is confirmed. We are likely to have something in the upper part of that range, but we need to wait to answer that question later in the year.
Operator: Next question from Pedro Leduc from Itaú BBA. Good afternoon Pedro, you may ask your question.
Pedro Leduc: Thank you all for your call. Thank you for taking my question. I would like to go back to rural insurance premiums. So we've been seeing the rural pledge in farmer's life also. Could you give us an idea of the penetration of life - farmer's life? Is there any adjustment to be made? Is there any other way for you to go back?
Rafael Sperendio: Thank you for the question, Pedro. Well, in terms of opportunity as part of farmer's credit life insurance, the penetration today is two-thirds of the penetration that we have for credit life. So we still have a lot of space to have more penetration, and times are usually shorter, one or two years, no more. For you to understand how it works, and I'll try to make it simple, without too much detail. But in the rural segment, we have three products. So crop insurance is related to costing, the basic lines for credit in rural segment. So costing and marketing. So crop is just costing. And so investment there is opportunity for rural pledge and the farmer's credit life insurance. And for marketing is also markets, credit life insurance. So farmers credit life insurance can be in costing investment in marketing. And crop is just in costing and rural pledge, is just investment in a small part for marketing. So it's the most versatile product in the end that we have in our portfolio, to try and offset when one line is performing below expected. So this is the only thing where we can combine the three main lines of credit life insurance, and also farmer's credit life. After the pandemic, this is an industry that has been going through a rebalancing in terms of supply and demand. We saw prices going up to levels that are unprecedented in the soybean in 2022, and now these prices are being rebalanced. As we used to see before, it's not really low. It's just lower than we've been having. So premiums are much closer to what we used to see in the past. Now farmers need to structure themselves, and structure their balance to face the new scenario. In terms of commodity and supplies prices, they were slightly more leveraged, and now they need to go back to something more in between and this takes a while. So I would say that as farmers review their balance sheet structures, will start to have slightly more opportunity, for crop insurance to start going up again or growing. So in Brazil, I would not say that there is any evidence of prices going up. Sometimes there's a second crop is almost 60% to 80% harvested, and the yield is better than last crop. So production will be higher than last season, especially for these two crops, corn and soybean. So there is no offer that would lead to more price increases. We need to see what is happening in other farming markets for these two commodities. But in the short-term, we are not seeing any evidence that prices could go up, which is a variable that would be more sensitive for crop insurance premiums.
Pedro Leduc: Thank you.
Rafael Sperendio: Thank you, Pedro.
Operator: Our next question comes from Guilherme Grespan from JPMorgan. Guilherme, you may open your microphone and ask your question.
Guilherme Grespan: Hello, good afternoon. Thank you for the question. Thank you for taking my question and thank you for the call. I know you do not offer PRONAMP insurance. Are you thinking about that? And some of your competitors are doing this. So we talked here very much about the credit life for private payroll loan. And about pension, we talked a lot. And Sperendio talked about competition and other movements in the industry. But when I look here and trying to take out the industry, and reversibility even though you have an amazing market share showing the strength of the agency at one-third, have been seeing the technical reserves and have been going down. So today is almost 27%. I would like to - you to offer me a diagnosis for pension with different growth rates, even though Selic is close to 10% in the midterm, do you think that the growth in revenue should be closer?
Rafael Sperendio: Thank you for your question, Grespan. Well, about credit life, you're right. We do not offer PRONAMP insurance, which is the national program to support small-sized businesses. So we want to have products for those lines that are subsidized. And this should advance along the second quarter. As to pension, and what you said is right, especially, because of the return if we compare our return to the industry on average. And this justifies especially, because of more concentration of the industry in private bonds at Brasilprev, which ended up benefiting in terms of the volatility then Brasilprev funds that, are more concentrated market risks, their public bonds with longer terms. When the industry has a higher share of private bonds with less volatility, because there's less liquidity. And this is the main point, which is directly reflected in return and return of the industry slightly higher than ours, and that's why we end up losing share in terms of reserves. So this is the main reason. And the second reason that plays not such a critical role. So portability is the second industry, but redemption is above average in the market. So this ends up affecting, but the main variable that influences the variation of our reserve balance is directly related to what you said. We lost a little bit market share - is the breakdown of everything that I mentioned to you.
Guilherme Grespan: It's clear, Sperendio. We, as analysts, projection of technical reserves, slightly easier is related to Selic - assuming that Selic is 12%, 13%, do you think that the growth in administration fees is closer to 5%, or to the Selic?
Rafael Sperendio: So the average fee is likely to go down at this space at about one basis points per quarter. So I do not believe that management fees will grow similarly to Selic, it should grow less. Now quantifying that right now is difficult, but it will certainly grow less than the average Selic rate.
Guilherme Grespan: Thank you very much. Very clear.
Rafael Sperendio: Thank you, Guilherme.
Operator: Our next question comes from Marcelo Mizrahi from Bradesco. Mizrahi, good afternoon, you may open your microphone, ask your question.
Marcelo Mizrahi: Good afternoon. Thank you for the opportunity. There are two points that I would like to go over about credit life again. If the main reason for the drop in credit life, is because of corporate customers, it's difficult to think of a significant recovery for contracting by companies, and it's not so big to change completely. Q3 last year, the level of credit life premiums was very strong. So I think that the comparison basis from now on is slightly better in Q2, but then it gets worse further on. Even so do you think you can go back to have growth in terms of credit life insurance premiums in the future? Number 2 is related to capital allocation in terms of payout of dividends - is this year - would there be any impact on buyback or just dividends? And Rafael, could you please remind us of the rules? What is necessary so that we can have the buyback again?
Rafael Sperendio: Thank you for the question. I'm going to go answer the last question first in terms of dividends and buyback. So we have already reached the deadline. The legal deadline for the program, it ended in February, in the middle of the first quarter. So far, we have no indication that might lead us to open a new buyback program this year. So I think that the market can assume that 100% of the cash flow that, is likely to be paid out should come from dividends rather than buyback in 2025. As to credit life insurance, yes, we understand it's still feasible to think in growth due to a basic effect that you mentioned. The second and the fourth quarters are much weaker basis. So we are seeing a significant reaction in April already, something that we must wait a little longer to see if this expectation, is going to become real or not, especially because of the private payroll loan insurance. So we had a good performance despite the limitations, this is at the end of March. So April is only towards the end of April, and even so we should like R$63 million premium with the penetration being less than half, of what they have in the public sector. So we have space to grow in origination, and we have space to improve penetration, especially that they are now available in branches. So it's important for us, to see our performance along the second quarter, to see if this projection is going to be confirmed or not. But I think it's still too early for us to say that, we are not going to have any growth. It is totally feasible for credit life to grow during the year. Of course, the growth is going to be small, but it's possible.
Marcelo Mizrahi: Thank you.
Rafael Sperendio: Thank you, Mizrahi.
Operator: So we have time for one last question, a question from Eduardo Nishio from Genial Investments. Nishio, good afternoon, you may open your microphone and ask your question please.
Eduardo Nishio: Good afternoon. Thank you for the opportunity. I also have two questions. The first one regards your performance. This year somehow you have the bottom line performance kind of assured by our investment income, the Selic is helping you in many ways. But I would like to explore a little bit more. The premiums, premiums and revenue in general. You were having slightly more difficulty in terms of evolving, premiums didn't improved much last year. And this year, you started not so good either. But once Selic starts going down, do you really intend to grow slightly more strongly? Do you have any cross-selling agenda, any more penetration to have a slightly stronger BB basis so that growth will resume and the top line, we need to grow at some point in time, for you to increase bottom line, at least in the next few years? And my second question - and in terms of equity, this is an important question. Are there ongoing negotiations with BB regarding the contracts for 2033? Can you advance those contracts now? And how would - these new contracts be designed a little bit more automatically? Could you explore a little bit more the agenda? Thank you so much.
Rafael Sperendio: Hi, Eduardo, thank you very much for your question. I'm going to answer first, the second one. Same answer as last time. Since I arrived, we've been talking to the bank. This is no taboo, but there is a maturation time for us, to evolve to the model and what will happen in the future. So far, we are focusing on operation and obtaining the best result of partnerships. And this is going to be addressed at the right time we are not really worried about that. And this is not a difficult kind of conversation. About your first question, yes BB Seguridade - well, the office is inside the bank. This facilitates our interactions and conversations many different departments, especially commercial directors and financial directors, and we define metrics together. And obviously, the bank has priorities. And they walk along the possibilities, because the bank at the end of the day, is the controlling shareholders. And this goes to the bank's financials. So there is an initiative that since last year, this is the consortium, and this is a cross-selling line. But we've been seeking to go more and more into wholesale lines. We've been growing there. Of course, considering the overall scenario, in percentage terms, the growth is not as big as retail. This is more robust. We wanted to advance. And we are always talking to increase, and this conversation has been increasingly more constant. So we trust and we know that the bank as part of the results of BB Seguridade. We are part of the performance of the bank, and these dynamics is going to happen not just next quarter. But in the future. With the amounts that we may allocate the capital, so I believe with the companies in the group and also the dynamics, the bank dynamics and a stronger. So that we are not just there at the front end, but also in the window everyone can see us. We want people to see us, and attract the initiatives that we have to improve the profile in terms of financial education and everything. And we still have a lot of space to explore in the basis of the bank with millions and millions of customers. And we know that we have a potential that is very big. We have been growing, and we have novelty coming from within the company. So you can definitely wait that will be closer and closer. And as I said before, the result of Q1 does not reflect what we are seeking for the year, what we have projected, and what you want. I think that we are a little bit surprised by premiums. But as for the rest, everything is going to be fine.
Eduardo Nishio: Thank you.
Rafael Sperendio: Thank you, Nishio.
Operator: So now we end our virtual conference call, to announce the results of the first quarter. I would like to thank everyone for your presence here today. Now I'm going to give the floor, to Andre and Rafael for their closing remarks.
Andre Haui: Thank you all very much once again, for taking part in our conference call and I remain available as part of the Investor Relations team, to answer any questions that might not have been answered. Thank you, and have a good afternoon.
Rafael Sperendio: I would like to thank our customers, our employees and especially our shareholders that believe in BB Seguridade and to continue investing in us in our company, and results are to come. Thank you so much, and see you soon.